Operator: Greetings. Welcome to the Park Lawn Corporation Q4 and Year-End 2022 Earnings Call. [Operator Instructions]. Please note, this conference is being recorded. I will now turn the conference over to your host, Jennifer Hay, General Counsel at Parkland. You may begin.
Jennifer Hay: Thank you, Holly, and good morning. Thank you for joining us on today's 2022 Fourth Quarter and Year-end Earnings Call. Before we begin our prepared commentary on the quarter, please note that you can find a detailed breakdown of our 2022 fourth quarter and year-end results in our financial statements and MD&A, which are available on our website and on SEDAR. Today's call is being recorded, and a replay will be available after the call. Please be aware that certain information discussed today is forward-looking in nature. Any such information is subject to risks uncertainties and assumptions that could cause actual results to differ materially. Please see our public filings for more information regarding forward-looking statements. During the call, we will reference non-IFRS financial measures. Although we believe these measures provide useful supplemental information about our financial performance, they are not recognized measures and do not have standardized meanings under IFRS. Please see our public filings for additional information regarding our non-IFRS financial measures, including for reconciliations to the nearest IFRS measures. I will now hand the call over to Parkland's CEO, Brad Green, to open our discussion today.
James Green: Thank you, Jennifer, and good morning, everyone. In addition to Jennifer, with me on the call today is our CFO, Dan Millett. Our fourth quarter operating results were better than expected, especially as it relates to the comparable quarter of Q4 2021, which was heavily impacted by COVID-19. During the quarter, our revenue continued to grow, increasing 9.1%, principally as a result of acquired operations, while adjusted EBITDA was consistent with the prior period. This occurred in spite of the unprecedented decline in the death rate. For both the quarter and year-end, our large cemetery businesses continued to outperform due to strong pre-need sales, especially large group sales. Overall, our cemetery sales from comparable operations increased approximately 4% year-over-year. As we said in the past, these large group sales are highly unpredictable, and we don't expect to see the same level of activity in 2023. However, we do expect that our refreshed sales structure and continued focus on our strong sales acumen will ultimately lead to improved cemetery sales year-over-year. Our at-need sales in both our funeral and cemetery businesses were impacted as a result of the drop in the death rate, although we are pleased that the decline in our same-store call volume decreased significantly less than the national average. More specifically, recent CDC data suggests that in the United States were approximately 9% lower during Q4 2022 versus Q4 2021. However, and looking at our operations, we only saw a decrease in call volume of approximately 4%, which was not only lower than the national average, but also compares favorably to our peers. And while we continue to see excess best as a theme, we expect year-over-year mortality to decline slightly, primarily as compared to the first quarter of 2022, the last quarter that was heavily impacted by COVID-19. On the M&A side, we had an extremely active fourth quarter in 6 different transactions consisting of 13 funeral homes and 4 cemeteries, including 2 on-site. We finished the year with a total of approximately $94 million in acquisitions, which falls right in the middle of our previously disclosed expected pace of acquisitions. Through these acquisitions, we entered 2 new markets, Virginia and Wyoming. Subsequent to the year-end, we announced our first acquisition for 2023. We've entered into an agreement to purchase the Speaks business in Independence, Missouri, which will further deepen our presence in the Kansas City metropolitan market by the addition of 3 funeral homes and a standalone cemetery. This is a premier operating firm that has received national accolades in our industry, and we are excited to have them join our team once the transaction closes in early April following regulatory approval. While we pride ourselves on being a growth story, as we shared with you many times in the past, our growth through acquisition is selective and strategic. We say no more than we say yes, and our robust pipeline affords us with the opportunity to partner only with the best premier operators in our profession. By continuing to remain selective in choosing our partners, we found ourselves able to further drive revenue, EBITDA and earnings growth, which we plan to continue to do into 2023 and beyond. Finally, before I turn the call over to Dan, despite the adverse conditions presented during and following the height of the COVID-19 pandemic, I am proud to announce that the company exceeded its 2022 aspirational growth target of achieving CAD 100 million in pro forma adjusted EBITDA by the end of 2022. We now look forward to turning our full attention to the achievement of our 2026 goals. With that, I'll turn the call over to Dan, who will provide some additional detail regarding our Q4 and year-end results.
Daniel Millett: Thank you, Brad, and good morning, everyone. My comments this morning will focus primarily on our operating results from the fourth quarter 2022 relative to Q4 2021. The fourth quarter saw revenue increase approximately 9.1% as pre-need property sales increased year-over-year and acquired operations continued to contribute to Parkland's positive growth. However, overall revenue from comparable operations decreased approximately 2% year-over-year, which was more favorable than expected considering the heavily impacted COVID-19 comparable quarter. While the death rate remains somewhat unpredictable, we expect the trend of excess debt to extend into 2023 but anticipate larger-than-average mortality decline in Q1 2023 when compared to the previously COVID-impacted Q1 2022. As year-over-year mortality rates decrease, we continue to focus on maintaining margins in a unique inflationary and recessionary environment. We are pleased with our proven market share strength and continue to manage our operating costs such as overtime, part time, contract labor, maintenance and supplies and other variable costs to drive operating leverage over our strong 2022 results. For the 3-month period ended December 31, 2022, the company's operating expenses, including general and administrative, advertising and selling and maintenance expenses increased by approximately $6 million over the same period in 2021. This increase is primarily due to acquired operations, but also in our corporate costs. While our comparable operations continue to experience inflationary pressures on items such as labor and utilities, these increases were partially offset as maintenance costs were better managed year-over-year and commission compensation was lower due to efforts made to refocus commissionable sales as well as structures around large group sales. We have continued to strategically monitor our pricing power in the markets we serve, and throughout the year, we have selectively increased prices where appropriate, but it's been sensitive to the macroeconomic environment and impacts on market share. As previously noted, we made further strategic price increases towards the end of the third quarter and into the fourth quarter to offset inflationary pressures and in turn, experienced a 1.3% increase in averages quarter-over-quarter. Despite a very unique operating environment, when we anticipated seeing a decline, we actually saw that averages were flat when comparing to the COVID-impacted full year of 2021. As we move into 2023, we continue to monitor pricing changes on a month-to-month basis and expect to see year-over-year growth despite the recessionary environment. Ultimately, these items resulted in a decrease in net earnings for Q4 2022 relative to Q4 2021. Net earnings attributable to PLC shareholders for the fourth quarter was $5.3 million or $0.153 per share compared to $7.1 million or $0.206 per share in Q4 2021. Furthermore, the adjusted net earnings attributable to PLC shareholders for the fourth quarter of this year was approximately $8.2 million or $0.239 per share compared to $10.1 million or $0.294 per share in Q4 2021. Now let me turn to the balance sheet. Our balance sheet continues to be a strength. And at December 31, we had $152 million outstanding on our revolving credit facility. Other debt of approximately $25.4 million, including an $11.5 million seller's note that was repaid in January. Finance leases of approximately $5.8 million and cash on hand of approximately $30.3 million. Excluding our debentures, our net debt was approximately $153 million as at December 31, 2022. During the year, the company used approximately $29.5 million of cash from operations on acquisitions and integrations as well as development projects. And subsequent to year-end, in order to provide additional flexibility we closed the B tranche to our credit facility, providing additional borrowing capacity of $60 million for a term of 1 year. This additional borrowing capacity will provide flexibility as the company continues its industry-leading acquisition profile in what remains a very turbulent macroeconomic environment. Including the additional borrowing capacity, the total availability under our credit facility today is approximately $140 million. We remain conservatively levered at the end of December as our leverage ratio was approximately 1.83x based on the terms of our credit facility and approximately 2.59x, including our outstanding debentures. As previously indicated, as we move through the upcoming quarters and continue to expand our business through acquisition activity and organic growth opportunities, we expect the leverage ratio to gradually increase. While we expect to continue to utilize cash flow and available leverage capacity on our acquisition activity in 2023, significant pre-need sales over the past 3 years and the expected relocation of our Houston corporate office will require increased inventory replacement and maintenance capital over and above historical norms. That being said, we expect to see these expenditures return to normal levels in 2024. On the development capital side, subsequent to the end of the quarter, we are excited to announce the completion of our new on-site funeral home located at Waco Memorial Park in Waco, Texas. As the only on-site in its market, we anticipate that this location will provide us with tremendous opportunity. In addition, our strong balance sheet will continue to provide us the ability to add value to families we serve by developing our existing cemeteries. And in 2023, we anticipate starting 2 new on-site projects, one in Mississippi and one in Kentucky. I'll now turn the call back to Brad for some closing comments.
James Green: Thanks, Dan. Since 2019, we have created unprecedented growth for our shareholders, achieving a 23% adjusted EBITDA CAGR and a 20% adjusted EPS CAGR. Our acquired businesses after 2019 make up over 45% of our current business and through our continued focus on operations, our 2019 same-store fill margins improved 350 basis points. Although 2022 was a difficult year by comparison, we could not be more excited about what the future holds for Park Lawn. Even as we continue to adjust to the post-COVID impact on our business, we are focused on building upon the improvements that we've shown in the back half of 2022, not only in operations but for the company as a whole. We not only expect our 2023 performance to show continued growth over a pre-COVID 2019 comparison. We also expect to grow over our 2022 performance. With that focus on our future, we will continue to improve our corporate infrastructure to ensure that we can absorb and integrate the 2026 version of Park Lawn by focusing on automation and process efficiencies. We now have version 1 of our proprietary enterprise resource planning system fact, implemented in all of our U.S. businesses. Today, this platform serves as the operational and financial foundation application providing the tools needed to successfully operate our funeral homes and cemeteries from a point of sale, accounts receivable, commission calculation, trust reporting, property inventory and merchandise and services perspective. Ultimately, as we continue to enhance the underlying structure of facts, it will have a myriad of tools that support and enhance the ability of our businesses to provide best-in-class services to families we serve. The additional capabilities that Fax provides over our prior systems are not a wish list to occur at some date in the future. Rather, they exist now, which is allowing us to make continuing incremental improvements on a real-time basis. That concludes our prepared remarks, and I will now turn it over to Holly for any questions.
Operator: [Operator Instructions]. Your first question for today is coming from George Doumet at Scotiabank.
George Doumet: Great quarter. Brad, I think last quarter, you told us that you would expect Q4 to be similar to Q3. Q1 to be a little down. Q2 to be flat on an organic basis. It seems that we're kind of running well ahead of that. Maybe you're a little bit conservative on that. Can you maybe give us a little bit of a view on kind of where you see the year playing out and the quarterly cadence of the recovery on the margins there?
James Green: Yes. So you have to kind of break it down a little bit in what we're looking at from an internal perspective on funeral homes and cemeteries that I'll kind of roll that up. As we sit here looking into 2023, we definitely think that the funeral volumes will see a decrease, probably in the low single-digit range really based on what happened from -- in Q1 of 2022. We, however, expect our averages to kind of increase in that same low single-digit range. And on the cemetery side, we're looking at kind of mid-single-digit growth on total cemetery revenue. In summary, that kind of has us looking at guiding organic growth to basically flat 2023 over 2022. But I expect to see margin increases in 2023 as well, especially coming, especially as our 2021 acquisitions fully come online as well as 2022. And then I guess I would summarize by saying with that all being said, even though the organic growth is probably going to be flat to us this year, or at least we may be looking at it that way. We still expect our 2023 to increase over 2022 because of our acquisitions. I mean we're still a growth company, and we continue -- and we expect to continue growing this year as well.
George Doumet: Okay. I was a little bit surprised to see how quickly we're able to talk about some of the expense line. So maybe a 2-part question. In advertising and selling, how much of the decline there was the result of just lower volumes versus what you guys called out as a changed intentive plans, which seems maybe a little bit more kind of structural. So could you just maybe talk about that? And also, I think the second part is how should we think of G&A going forward? I mean, it seems this quarter was -- the growth was well below CPI in terms of an organic standpoint. How do you -- do you expect to invest maybe in 2023?
Daniel Millett: George, it's Dan here. On a lot of what comes out of our advertising and selling is actually on the cemetery side with our commission structure. We've been making adjustments to our commissions throughout the year to ensure we're not decreasing our commissions, but we're refocusing people on ensuring we're selling the right property, the right products at the end of the day so that they match with how we recognize revenue. The other part to it, as Brad alluded to at the start of his prepared remarks was our large group sales. In some of our parks there's a bit of a different commission structure with some of our salespeople because those are such large sales, which as we've mentioned before, have a better flow through to the bottom line -- better margin, if you will, than our park sales. So those 2 things were really driving the decrease in advertising and selling. If you kind of look to year-over-year 2023, I'd expect that to increase a little bit. Again, as we -- as Brad mentioned, we won't see the group sales probably for the same magnitude that we saw this year, but we expect to improve our lot sales in at-need sales in our cemeteries year-over-year through an improved focus on selling that, I think we kind of mentioned back in Q2 when we announced our Q2 results. Sorry, George, what was the second part of your question?
George Doumet: Yes. Same thing, but for G&A. I'm just wondering, it's trending pretty low. So I'm just wondering if you look to next year. Do you expect that to wrap?
Daniel Millett: Yes. G&A, I think we talked about this last quarter, I think there's some efficiencies to be had on the corporate side, but I think it's going to take some money to actually realize some of those efficiencies. Maybe the old adage is it takes some money to make money. We think with facts coming online, there's an ability to improve our automation with the various systems we use, including on the an area near and dear to my heart on the accounting side. So I think we've been talking about seeing some increases again this year in the corporate costs. I think historically, we've seen corporate costs around 7.5% of total revenue. I wouldn't be surprised if we see that trend up 50 basis points or so before we start seeing a lot more in terms of economies of scale and pushing it down below that 7.5%. From an operating perspective, we're still dealing with inflation. I think on kind of the big ones, the labor, the utilities, gas. We're seeing some reprieve there, but it's definitely not going down to the historical 2% range. So trying to manage those pressures along with managing maintenance costs and supply. Some of our more variable costs is something we're focused on every day out in the field to try and really improve those field margins.
Operator: Your next question is coming from Irene Nattel at RBC.
Irene Nattel: Just following up on George's question, and let me reframe it in a bit of a different way. So you achieved your $100 million EBITDA target, yes. Margin, not quite at that 26% level. So can you walk us through the bridge from where you're running right now to that 26% level? How do we get from here to there? Or if there is still a target and what's the time frame?
James Green: Irene, it's Brad. So good question. Obviously, when we were in the pandemic, we saw the margins at that level. And the obvious statement there would be the increased revenue that allowed us to get there. The margins that we're seeing right now are not disappointed in given the fact that we came out of the Q2 that we had and given the refocus we've put on the businesses. We have maintained and still maintained that these businesses can be operated at a 26% margin, the businesses we currently own, which are obviously heavy cemetery relative to our peers. We believe that they can be operated at 26%. What we have lacked in the past, and I'll go ahead and jump to your favorite question, is we didn't have some of the visibility that we are having now. We were kind of forced into talking about that before Facts we were ready to, and so people have been hearing about it because we've started developing it in 2018, and I think it became kind of a matter of public knowledge in 2019 or early 2020. It is just now that we have all of our cemeteries and funeral homes in the U.S. on fax. And as a result of that, our visibility to real-time revenue data and what we can do with that is a lot closer to what this management team has been used to. So to get back to your -- how do we get from 23% to the 26% and how long it's going to take? We manage our cost to our revenue, and our visibility on that is a lot more than it used to be and so is our focus. And as we continue to add acquisitions that's going to get better. Do I expect to hit 26% margins in 2023? No. Do I expect to see incremental improvement on those margins? And when I say expected, I do expect it, absolutely.
Irene Nattel: That's really helpful. And of course, thank you for talking about facts, my favorite subject. Just moving on to my other favorite subject, M&A. I'm very interested in the increase in the credit facility by $60 million for 1 year. So what are you seeing out there now? How would you describe the M&A pipeline at various different size levels and expectations around valuations?
James Green: So I'm very excited about what I see in our acquisition pipeline, and I'll slow it down for a second just to educate our analysts and investors. We'll name businesses that you buy. And some of them are known, some of them are not known at all and some of them are extremely well known. Brad speaks business that we just added in independents. One of our most well-known and better acquisitions made by Park Lawn in the last 4 or 5 years was John Horan's business. And John Heran himself, told our Board recently how impressed he was that we were to add -- we were able to add a business like Speaks. We have more of those coming. We're very proud of that. And so obviously, we're going to have to have access to capital to do that. Everyone sees what our stock price is right now. I believe that we're still being unfairly punished for Q2 2022 as well as macroeconomic things existing in the world. We're going to fix that by continuing to perform well operationally, and I'm sure that, that will eventually rectify itself. But we're going to need access to capital to continue to make acquisitions. So yes, I think that pretty much answered the question. I think you might have also asked was in quote you asked what I see in valuations. I saw -- we saw some really heated activity in late 2021, early 2022, when in my opinion, people were overpaying for businesses. That didn't necessarily impact us because we won't do that. And a lot of the businesses we were buying or either they're coming to us individually or they know that there's more money out there and they're accepting less. I mean we're always in the ballpark, but it really hasn't put a lot of pressure on what we pay for businesses. With the interest rates doing what they've done recently, you definitely see people reflecting on what they're willing to pay for businesses. But again, that's just what I'm seeing from others. It really doesn't impact what we're doing. We know what the business is worth. We know what we can run it to after a year or 2. We pay what we pay a good fair price, and we don't end up agitating our owners as a result of that because we can actually run their business to their expectations, which is a promise we make to them. Dan, I think you want to add something?
Daniel Millett: Yes. Irene, just as it relates to the increase in the credit facility or the B tranche that's somewhat opportunistic, somewhat flexibility. I think everybody kind of knows what the capital markets are like right now. We've talked about our goal of 75 $25 million of acquisitions over the year. And we had an opportunity to add that B tranche at consistent pricing. So not having to open up our broader facility and deal with some of the pressures that the capital markets are providing right now.
Irene Nattel: That's great. And you know my views on issuing equity for M&A. So happy to see the increase in the B tranche.
James Green: We're very familiar with your views on that, Irene, and I should have let Dan answer the question about the capital structure anyway because he sounds a lot smarter than I do when he answers the question.
Irene Nattel: Yes, you sound pretty good, Brad, not to worry.
James Green: Of everything I know.
Operator: Your next question for today is coming from Daryl Young at TD Securities.
Daryl Young: It's just around some extent to. So as the bulk sales potentially lap next year and you move into more traditional sales. Could you just give us a little bit of color on what some of those strategies are and where you're targeting?
James Green: Sure. We took a long hard look at our sales structure through 2022 going into this year. One of the most significant things that we did is we moved an individual that was working with me on acquisitions, Bill Hudson, into a Senior VP of Sales role. It's not that's necessarily a big change in our structure, but it is putting a big engine in a place that we felt that could use some improvement. It's really not -- what we're doing right now in the sale structure isn't really -- I wouldn't call it over lease act or overly earth shattering. It's really just going back to blocking and tackling and the things that we know we can do. So while we expect the group sales to pull back in 2023 only from the standpoint that 2022 was so good, we also expect that when we're focused on what we know, which is sales and going back again to the blocking and tackling and the simple things, we are internally expecting what I would call our normal cemetery sales to improve over 2022. So that kind of gets us back to a small improvement in that area. But it's nothing that's earth shattering and more just going back to doing our job because bluntly, it was easier to do sales during the pandemic than it was pre-pandemic. And so we're kind of back to the pre-pandemic just kind of grind it out and make the sales.
Daryl Young: Got it. Okay. And then in terms of just the labor environment, I think you mentioned in the MD&A that there's less use of contract labor this period. Is that something that we should expect to see continued benefit from across '23?
Daniel Millett: Yes, I think so. It's more of a function of trying to focus on limiting the inflationary pressures where we can take some things in-house, and it will cost us less to do so. We're definitely focused on that. I can't say every quarter, it's going to be the same. Some of it's going to be where we have the labor availability, where we have the work. But obviously, it's something that we can focus on to offset some of those inflationary pressures and our folks in the field are focused on doing whatever they can to maintain a strong cost structure in light of the decrease in mortality and overall sales.
Operator: Your next question is coming from Zachary Evershed at National Bank Financial.
Zachary Evershed: Congrats on the quarter. So how healthy is the trigger effect at the moment? In the strong pre-need sales trends?
James Green: I'm sorry, Zack, you broke up right in the middle of the question. Do you mind repeating that for us?
Zachary Evershed: Not at all. How healthy is the trigger effect? And do you expect a reversal in the strong pre-need sales trends you've been seeing?
James Green: So again, that kind of goes back to there was definitely a trigger effect going on during the pandemic. I mean we all remember that, right? We're watching the television, we're talking about death every day. They're giving us numbers I think -- and like everyone on this phone when that was over and when the mass came off and everything, we kind of tried to get away from that. Everyone wanted to distance themselves from that period of time. I mean, I'm no psychologist, but I think that we can all see the link of during a period of time where that was forefront in everyone's mind, it was a lot easier to talk about that. It was a lot easier to talk about pre-need planning and people are actually seeking us out. The same kind of thing happens, right, when that happened to all of us. When that period ended, I think it got harder again to have people on talking about death and pre-need. Now having said that, that was the way it was pre-COVID. We just had to -- I mean that's never been an easy job and the folks who do that for us do a good job at it. So by putting Bill in that role and kind of refocusing on sales. I think all that really means is we're going back to what we knew we had to do pre-COVID. So I would say the trigger effect, in my mind, is now muted or gone, and we're just back to doing our job as it was in 2019.
Zachary Evershed: And you've given some good color on what you need to do to drive margin expansion. What's your view on the pace of further improvements above the 23% level in 2023?
James Green: That's a fair question, and this is where I, Brad, as a guy that runs funeral homes and cemeteries as conflict with the, Brad, the CEO, of a publicly-traded company. We could do it faster. And we -- and I'm sure our -- everyone on this phone call would like to see us do it faster. But you don't want to see us do it faster at the expense of losing market share or damaging our businesses. No matter what anybody thinks, they don't want to see that move faster for a quarter or 2 quarters if the ultimate result is you start seeing us losing market share. So I would rather deal with people being frustrated with me on the speed at which the margin goes up and get it right so that we continue to bring in these awesome acquisitions and continue to be able to say that we don't have former owners that are angry with us. So are we going to get to those margins? Yes, we're going to get there. And we're talking internally, we're talking at the Board level. We're talking about what needs to happen, and there are a lot of levers there. There's not a simple answer. But when we get there, we're going to be able to look back and say, we got there the right way, and we didn't lose market share, and we didn't destroy the culture of our company. Now you're going to ask me when is that going to be? And the answer is going to be as quick as I can get us there without putting the thing in the ditch.
Operator: Your next question is coming from John Zamparo at CIBC.
John Zamparo: You've been pretty acquisitive lately. I wonder if you could talk a bit more about the businesses you bought in Q4 and also Q1 so far, specifically what the margin profiles are of those businesses?
James Green: Yes. We don't describe -- we don't disclose what the margin profiles of the businesses at the time that we buy them because the financials that we're getting from them and how they're run as an individual owner looks a lot different than how we deal with them as a corporation. What we generally say is we expect to hit the margins that are -- that we model out in year 1 or year 2, depending on whether it's a funeral home or a funeral home and cemetery or a combo. I can tell you that every business that we bought in 2021 and 2022 pro forma is well above the 26% EBITDA margin target that we have as a company. I know you're new to the story, but the reason why our margin profile is what it is, is we've got 140-plus cemeteries and a lot of them are small rural cemeteries. And as a result, they pulled out on our margins. And even some of our larger cemeteries do the same thing. And there's no improving them above where they are. So they come into the mix of our funeral homes, which historically have a lot higher margins, and that's where you get that consolidated margin. So if the point of your question was in the acquisitions that we made in the latter part of 2022 and certainly coming into the Speaks acquisition, all of those acquisitions pro forma well above the 26% at the field level.
John Zamparo: Okay. That's helpful. I want to get back to pre-need sales and what your expectation is on the cadence of these in 2023? Is it fair to assume you expect stronger numbers in the back half of the year because of assuming you subscribe a series of better economic conditions in the back half of the year? And can you remind us how pre-need sales trended through 2022?
James Green: Yes. So the -- being able to say what it's going to look like quarter-to-quarter, it gets a little difficult for us because the large group sales can come in at any given time. So if I tell you something about what 1 quarter is going to look like over the other. Sure, as soon as I do that, a bulk sale will come in or one will get shifted to another quarter. So the cadence gets to be a little difficult. Our pre-need sales follow similarly follows our at-need because an at-need call leads to a pre-need sales more frequently -- I wouldn't say more frequently than not, but they're correlated. So I would expect that you would see those correlate as they have historically. Now tracking it from quarter-to-quarter, I can't do that for you.
John Zamparo: Okay. Fair enough. And then my last question is on Fax. It sounds like this has gotten off to a nice start. You touched on some of the benefits in terms of matching your cost to the revenues you're seeing and the fact that you get visibility on revenue. I wonder if you could share a couple other of the most impactful and material changes that investors would notice over the next year or so from the installation of FACTS.
James Green: So over the next year or so, I can't give you an exact period of time. But what's going to start coming out of what we're going to start being able to do is as we get more and more comfortable with the level of detail that we're getting out of Fax. We're going to be able to disclose more of that. And we have not been shy about saying that. It's not as if we don't want to give more information. We just need to be absolutely sure that what we give you is 100% accurate. And we know that when the numbers are rolled up, but when you start getting into certain details, we wanted to be sure. Fax is going to provide that for us. Right now, it's -- basically, it's acting as a point of sale, accounts receivable, commission calculations, trust reporting, property inventory. It's doing all those things right now in the U.S. You didn't ask this, but I'll just kind of throw it out. The reason why it's in the U.S. right now and not Canada is U.S. accounts for about 90% of our revenue and Canada about 10%. Facts was so impactful when we put it in here, we decided to improve it. You take those same resources that would have been putting it up in Canada, we wanted to get -- improve it here and get the impact here and then take a more finished product to move into Canada because they're largely on SRS up there and then just have 6 cemeteries. So a simplistic way to say that is, they're doing just fine with the 10% of the revenue they got there, and we felt we'd see more bang for the buck by keeping it down here. So as we continue, like over the next 18 months, I think as we expand this and bolt-on things, you'll start seeing us talk about property managing and workflow and whether our CRM system talks to it the right way, putting accounts payable in there. These are all things that we're doing now and that we're working on now in real time. I mean that's why I put it in my prepared remarks, not a wish list anymore. We're not talking about we're going to do it someday. It's happening, and it's having an impact. So ultimately, as the investors and the analysts, what you're going to see is we're going to provide you more detail. And no one wants to do that more than Dan and the moment we can, we will.
Operator: Your next question is a follow-up question coming from Daryl Young.
Daryl Young: Just with respect to the price environment, I know you've spoken in the past about desire to maintain market share and caution around your clients. But some of your public peers have been pretty vocal about being able to push strong pricing through and not seeing any pushback or implications in the market. So just curious if you're maybe falling a little bit behind the pricing side or if there's more room to move there.
James Green: Yes. That's an interesting question. And we pay attention to that, and we see that. And so that you could be right, we could be being more conservative. We could potentially be able to raise our prices more on our customer. The flip side to that argument is our same-store volume while down, was down a substantial percentage lower than our peers. So could one also make the flip side argument that as a result of what they're doing with pricing, they're losing market share or more than we did. You could. I'm not saying they are. We're too busy worrying about our own house to worry about theirs. But I just -- I'm -- if we think that we can raise prices and it's fair because of the inflationary environment and we know we're not going to lose market share, we're absolutely going to do that because it's going to increase our margins. If it takes us 30 or 60 more days to make sure that we're making the right decision on a rooftop-by-rooftop basis, you all want us making that decision. So if we lag them a little bit, we were being overly conservative. But if they raise prices too much and start losing market share, then we were right where we wanted to be. And so we're looking at -- we don't look at this like once a year. We're looking at our pricing in some businesses on a monthly basis and other businesses on a quarterly basis, but these are constant communications. And when we can move them, we will. But we are going to be conservative about that. I'll just admit that straight up.
Daryl Young: Got it. Okay. And one more, sorry, on pre-need sales. We've quantificated a lot in the past on the at-need side and whether there was a pull-forward impact or how that all plays out. But on the pre-need side, is there also an argument that there was some pull forward there as well? And maybe some of this macro recession concern is actually the impact of pull-forward pre-need sales from the kind of easy target customer?
James Green: It definitely could be. I'll pick on myself here. I mean, you're kind of asking the wrong guy because in the first quarter of 2022, I told you I didn't expect there to be an impact -- a pull-forward effect in our friends over at SCI told you to expect a 15% and they were a lot more right than I was. But I will pontificate again and say, yes, I mean, we definitely saw a pull forward impact in Q -- sorry, in 2022. There's no doubt. I mean all publicly-traded companies are saying that and the private ones I'm talking to are saying the same thing. You would have to logically think that has an impact on the pre-need as well. But I'm -- as compared to our peers, especially, I'm very happy about where our pre-need and cemetery sales ended up for 2022. And I'm not concerned about them going into 2023. So I mean, time will tell, but I think we're going to end up being where we expect to be because of the focus that we're putting on that. We're not building out a sales function. We're not talking about using a CRM, we're not talking about -- we have all that in place. So now it's just a matter of tweaking and making it better.
Operator: We have reached the end of the question-and-answer session. And I will now turn the call over to Brad Green for closing remarks.
James Green: I would like to thank everyone for joining us today. As always, we make ourselves available to those who make -- who are looking for us. So just let us know if you have any additional questions, we're more than happy to answer them. Thank you very much for joining.
Operator: This concludes today's conference, and you may disconnect your lines at this time. Thank you for your participation.